Dennis Weber: Yes. Thank you and good afternoon, ladies and gentlemen, and welcome to our full year results conference call. With me on the call today are our CEO, Carsten Spohr; and our new CFO, Remco Steenbergen. Carsten Spohr will start the presentation with a review of a truly extraordinary year 2020. He will be followed by Remco Steenbergen, who will outline our results, our expectations for 2021 and the cornerstones of the financial management board. He’ll then hand back to Carsten Spohr for a progress report on the redimensioning and the transformation of Lufthansa Group. We’ll conclude today’s call with a Q&A session. Carsten, over to you.
Carsten Spohr: Yes. Thank you, Dennis, and also a warm welcome from my side. Thanks for joining in. And as always, allow me a few minutes of running down, together with Remco, what we believe is of interest to you and then look forward to your questions. I think it’s obvious that last year was, by far, the most challenging year in the recent history of our company for all our customers, our employers – employees, sorry, and our shareholders. And more than any other industry, we, in aviation, were affected by the consequences of the coronavirus pandemic. And Europe has been hit even harder than other regions of the world. So our airlines welcomed on board only 36 million passengers in 2020, which is 1/4 of the usual volume. At 390,000, the number of our flights fell by almost 70%. And accordingly, the Lufthansa Group’s revenue also fell to €13.6 million in 2020. The adjusted EBIT showed a loss of €5.5 billion, the net loss amounted to €6.7 billion and the adjusted free cash flow was a negative €3.7 billion. But at the end of the year, we had a significantly larger liquidity buffer than actually expected of around €10.6 billion. The number of our employees was only at 110,000, which is 20% lower than the year before, every fifth one had to leave. These figures illustrate the extent of the crisis our company has been pushed into by the COVID pandemic. This was entirely through no fault of our own. However, the past year has also once again very clearly demonstrated the importance of our industry. As Europe’s leading airline group, we have lived up to our social responsibilities despite the crisis. Together with the home governments of our airlines, we operated 460 repatriation flights when the pandemic broke out. We have maintained our route network as much as possible despite the challenging situation and continued to connect our home countries with the world. And our Lufthansa Cargo has maintained supply chains around the world transporting urgently needed medical equipment, including COVID-19 vaccines, therapeutics and personal protective equipment. The financial results of our passenger airlines, in particular, have suffered from the effects of the pandemic. Lufthansa, SWISS, Austrian Airlines, Brussels Airlines and Eurowings recorded a combined revenue of €7.2 billion, that’s a 74% decrease compared to 2019. Adjusted EBIT of the airlines was minus €5.4 billion. And Lufthansa Technik sales slumped by 43%. And due to the decline in demand in the crisis year 2020, the adjusted EBIT fell to minus €383 million. And in LSG, as well, the drop in sales was more than 60%. Adjusted EBIT on our catering business was at minus €284 million. Only Lufthansa Cargo actually generated record results last year. Due to sustained high demand, the adjusted EBIT of our Cargo division was a plus of €772 million while revenue rose by 11% year-on-year. That’s I think particularly noteworthy when you consider that usually half of the cargo is transported on one of our passenger aircraft. Ladies and gentlemen, the figures for the past year leave no doubt that we had to respond decisively to this crisis with – in our history and probably in any airline’s history unimaginable redimensioning of the company. However, though, for us, the Lufthansa Group, 2020 was more than a year of crisis. It didn’t just force us to change, but we were able to continue on the path of modernization that we had already started in previous years. During 2020, we even accelerated the pace of modernization. I have already emphasized this time and again, in recent months, relative to our competitors, we want to emerge stronger from the current crisis. As the Lufthansa Group, they will be smaller for the time being, but also more agile, more focused and more sustainable. For us, one thing is certain, global air traffic will continue to be essential in the future. Without us, the mega trend of globalization would simply be impossible because globalization consists of four streams: the stream of money, stream of data, stream of goods; and, of course, the stream of people. And two of these streams would not even be feasible without our industry. In the future, however, four factors will have a significant impact on global air traffic: the further development of the coronavirus pandemic, the increasing environmental regulations, video conferencing and the associated decline in business travel as well as the increasing protectionism of unfortunately many different governments around the world. By redimensioning and modernizing the Lufthansa Group, we are positioning ourselves better for the future. In doing so, we are guided by our vision statement, which has lost none of its validity. Connecting people, cultures and economies in a sustainable manner, that remains our aspiration and our goal, and that will maintain even beyond this pandemic. In the new normal after the pandemic, we will have a significantly modernized fleet and a much more focused portfolio. The Lufthansa Group will be more digital, leaner and cost efficient. And we expect it – sorry, we expect to be back to 90% of precrisis capacity in 2024. I will go into this in detail for just a moment. But before that, let’s take another look at the fiscal year 2020. I’m pleased that our new CFO, Remco Steenbergen, will explain our key financial figures to you in detail today. Remco, you have taken on a great responsibility in our company at a very challenging time. I’m grateful that you have joined, especially after a month of the dual role myself, and I can say you have settled into your finance team in record time, and you’re just an excellent addition also to our executive team. So here it is, over to you.
Remco Steenbergen: Thank you, Carsten, for the kind introduction, and good afternoon, ladies and gentlemen. After an exciting first two months with the company, today’s announcement of full year results will be the beginning of what I hope will be a very close dialogue with you, our shareholders, analysts and other stakeholders of the Lufthansa Group. I look forward to being personally in touch with you in the next few weeks and months. Let me start my review of our full year results with a quick overview of our main KPIs. Group revenues were down by almost 2/3, reaching €13.6 billion in the full year. Half of the group revenues were contributed by the non-airline businesses, unthinkable, just one year ago. The group adjusted EBIT loss was €5.5 billion and the net loss amounted to €6.7 billion. Fast and strict liquidity actions taken and the non-cash nature of large one-off effects meant that the free cash outflow was much lower, amounting to €3.7 billion. Over the course of the year, Lufthansa has quickly reacted to certain market changes. We ramped down almost completely in spring, then we started operations heading into summer and soon after, unfortunately, had to reverse course again in light of the second corona wave and renewed travel restrictions. Without a doubt, the past 12 months have been extremely challenging for our shareholders, our customers and for all of us at Lufthansa. Nonetheless, I’m convinced that we will greatly benefit from the unprecedented flexibility we have adopted strategically, operationally and financially. This flexibility is an opportunity and will be key to the group’s operational and financial management going forward. The capacity offered by the Network Airlines amounted to just 30% of the 2019 level. Seat load factors declined by around 20 percentage points, yields decreased just 2.9%, supported by high-yielding, short-term customer demand, especially in long haul over most of the year, and the positive mix effect resulting from the increased share of short-haul flights. The adjusted EBIT loss amounted to €4.7 billion. Capacity reductions at Eurowings were comparable to the Network Airlines despite significant expansion over summer. Eurowings focused on European short haul and the touristic segment, limited seat load factor declines. In the reporting period, the adjusted EBIT loss was €703 million. In contrast, Logistics segment, that means Lufthansa Cargo, recorded its higher average operating profit, €772 million. The industry-wide capacity reduction caused by the grounding of especially long-haul aircraft drove a significant increase of yields. In addition, Lufthansa Cargo achieved some significant cost savings. In the fourth quarter, which includes the peak season of the air cargo market, yields at Lufthansa Cargo were up by almost 80%. For the full year, the increase amounted to 55% compared to 2019. We will tightly control costs and remain disciplined in our capacity planning also going forward. Following the retirement of the three MD11s in 2020, the five remaining MD11s will leave the fleet in early summer so that the capacity of the freighter fleet will decline year-on-year. We also forecast the market environment to remain supportive. So we expect our Cargo business to perform strongly also in the foreseeable future. Turning to the other non-airline businesses. The MRO segment around Lufthansa Technik recorded an adjusted EBIT loss of €383 million. Most airline customers cut down maintenance work to an absolute minimum, resulting in a sharp contraction, especially in the key engine and components divisions. Significant cost reductions across all areas were offset by higher write-downs of receivables related to the difficult financial situation of many airline customers as well as of material. In sum, the effects amounted to almost €300 million. The Catering business around LSG Group suffered significantly from the slump in demand from airline customers, a deep restructuring, including the elimination of more than 30% of management position and the temporary halving of the worksite outside of Europe, helped to mitigate some of the earnings pressure. Including a benefit of US$84 million related to the CARES Act, the adjusted EBIT loss amounted to €284 million. Earnings in the other businesses declined primarily because of losses at AirPlus related to the drop in business travel and at Lufthansa aviation training. Cost savings in the group central function only partly compensated for the declines. On a group-wide level, we reduced fixed cash costs by 35% during the period of crisis. Staff costs, which account for around 2/3 of total group fixed cash costs, declined by 36% or €2.3 billion in these nine months, €1 billion related to the short-time, work-related wage cost subsidies received by the governments of our home market. Another €0.5 billion was due to the salary reductions resulting from the application of short-time work. The reduction of headcount accounted for an effect of €800 million. We expect staff costs to be even lower in 2021 than in 2020. The growing contribution from restructuring, especially the headcount reductions implemented over the course of 2020, will be only partly offset by forecasted lower contribution for short-time work because of the expected ramp-up of operations as of this summer. Carsten will elaborate on the ongoing discussions with regard to the unfortunate but required needs to further reduce staff costs in the coming years. Other fixed cash costs were down by €800 million as a result of broad-based cost reductions in areas, such as marketing, IT, property rentals and other administrative expenses, which we target to keep also at a much lower level going forward. Noncash fixed costs, i.e., depreciation and amortization, were 5% lower compared to 2019. For 2021, we forecast a double-digit percentage reduction of depreciation because of the sharp reduction in investments and asset impairments, adjustments to the group EBIT primarily related to aircraft impairment charges of €1.5 billion and goodwill and joint venture impairments of some €300 million. The loss relates to fuel overhedging booked in the financial results amounted to €779 million, of which €639 million were cash effective in 2020. Given that we stopped to hedge at the very beginning of the crisis, we expect the effect from fuel oil pricing to be minor in 2021. The hedges in place covered the equivalent of 36% of 2019 fuel consumption, so less than the capacity we’re guiding for in 2021. For the foreseeable future, we will only hedge around 65% of our fuel exposure at the group airlines compared to 85% in the past. We have made this decision in anticipation of potentially higher volatility in demand and for commercial reasons. Hedging remains option-based and continues to have a 24-month time horizon. We have also adjusted the hedging structure so that we reduced the risk of overhedging in case of a sharp drop in demand and participate more in falling fuel prices. In turn, we will accept lower levels of protection in the event of a moderate price increase. In the fourth quarter, the monthly operating cash drain amounted to around €300 million. This €300 million outflow was less than expected, but still more compared to the Q3 level of around €220 million, following the deterioration of market conditions in Q4 in the wake of the second wave. Ticket refunds amounted to €770 million, exceeded the cash inflow from new bookings also in the fourth quarter. By now, the amount of unpaid refunds is in the low double-digit million euros, in line with the pre-crisis levels. Net CapEx outflows were reduced to €266 million. Due to the strict control of our working capital as well as for the tax deferrals at Lufthansa Technik amounting to €257 million, adjusted free cash outflow was €1.1 billion in the quarter. Adjusted free cash flow performance for the full year resulted in an overall decline of €3.7 billion. Customer refunds for canceled flights alone amounted to almost €3.9 billion. In 2021, this is no longer applicable as we are back to pre-crisis levels now. Nonetheless, free cash flow was down less than adjusted EBIT and net income because of strict focus and actions. Capital expenditure was significantly reduced to €1.3 billion, far below the depreciation and amortization expense. Other working capital effects contributed with an inflow of more than €1.3 billion in 2020. The deferral of import sales tax at Lufthansa Technik and other tax payments across the group supported the operating cash flow with some €900 million. This deferral is expected to reverse in outflows of around €450 million each in 2021 and 2022. Other one-off measures to protect liquidity, such as divestment of investment hedges and repurchase agreements for emission certificates, made a positive contribution of around €700 million, of which up to around €300 million will reverse in 2021. However, improved working capital management and the expected increase of bookings over the course of the year should offset the aforementioned effects so that the free cash flow should develop broadly in line with the adjusted EBIT in 2021. Largely because of the free cash flow decline, net debt increased by around €3.3 billion year-on-year, amounting to €9.9 billion at the end of December 2020. Pension provisions suffered from the market-wide interest rates decline. The 60 basis point decrease in discount rate used to value pension liabilities accounted for almost a complete increase of pension provisions. Provisions were up €2.9 billion in total, amounting to €9.5 billion at year-end. The success of our recent financing measures is reassuring. It reflects the market’s confidence in our ability to take appropriate actions to get out of the storm strong. Since July, the group has raised a total of around €500 million by using aircraft as security. The transactions included sale and leasebacks, secured loans and secured promissory notes or Schuldscheindarlehen. In November, we placed €600 million of convertible bonds at a 2.0% coupon and a 5-year maturity. This transaction was more than six times oversubscribed. Only a few weeks later, we took advantage of the supportive market environment by issuing a €1 billion straight bond. And in February this year, we tapped the debt market with two bonds for a total amount of €1.6 billion, the largest issuance in group’s history. As a result, we have secured refinancing of €2.6 billion of liabilities maturing in 2021 at attractive conditions and with maturity stretching as long as seven years. We repaid the state-backed KfW loan in Germany in accordance with the contractual obligations for the use of funds in excess of 2021 refinancing needs. This repayment will allow us to use aircraft which were pledged as collateral under this KfW loan to use for future financing. We plan to take advantage of this opportunity in the coming months primarily via Japanese operating leases. In parallel, we continue to explore selective opportunities for unsecured financing. Thanks to our successful return to the capital markets, our cash position reached €5 billion at year-end. In addition, undrawn stabilization measures amounts to €5.7 billion. They mainly comprise the Silent Participation I in an amount of €4.5 billion, which will be accounted for as equity under IFRS group accounts, if drawn. In addition, more than 2/3 of the €1.5 billion state-backed loan in Switzerland and around half of the loan in Belgium remain unused. Summing up cash at hand and undrawn stabilization funds, available liquidity amounted to €10.6 billion at year-end, €500 million above the level at the end of September. As I just mentioned, the €1 billion KfW loan in Germany, which was still drawn at year-end, was repaid in February. Considering the current market environment, it’s clear that flexibility will remain key for us in 2021. At this stage, we expect to operate between 40% and 50% of 2019 capacity in 2021. In the first quarter, capacity will be at only about 20%. We expand to ramp up to levels of over 50% starting towards the end of the second quarter and going into the important summer season, of course, dependent on travel restrictions being released. Expected pickup in business and continuous strict cost management, including the growing impact from structural savings measures such as headcount reductions, is expected to support the recovery of earnings over the course of the year. The full year operating loss measured as adjusted EBIT should hence end up smaller compared to 2020. Let me summarize what this means for liquidity going forward. Available liquidity at year-end amounted to €10.6 billion. We forecast a monthly operating cash drain of about €300 million in the first quarter, a similar level compared to the previous quarter, which still benefited from a relatively better month of October. Operating cash flow is expected to turn positive once we reach 50% capacity levels. We do not expect any major working capital outflows netting the various effects I outlined earlier. At €1.3 billion, investments will remain at a similar low level compared to 2020. We have successfully refinanced all financial liabilities due in 2021, and we plan further debt financing in 2021 to support liquidity. That is why we are confident that we will be fully financed for at least the whole of 2021, even if the industry recovery falls short of current expectations. Let me conclude my part of the presentation with an overview of the priorities we have defined for the group’s financial management going forward. As I just highlighted, I’m confident that the group is on a solid footing with regard to liquidity for at least the whole of 2021. We will keep our very strong cash and cost focus because we are mindful that the crisis is not over yet. Nonetheless, our focus is increasingly shifting towards a multiyear plan to get back to a healthy balance sheet. Let me highlight two objectives which will guide our actions in this respect. First, we strive to return to an investment-grade rating, at least in the medium term, irrespective of the strong demand for our debt issuance in the most recent past. This will require a ratio of net debt, including pension provisions, over EBITDA of less than 3.5. Second, we aim to ensure access to between €6 billion and €8 billion of liquidity at all times to protect ourselves against future crises. This compares with just €2 billion to €3 billion in the past. This will include cash and short-term securities as well as revolving credit facilities that can be flexibly drawn when needed. We are focusing on three main drivers. Above all, we must become profitable again, increase focus on our capital management and ensure strong cash flows to gain value for our shareholders. We will redimension our fleet and our workforce and transform our business to adjust to a smaller and structurally changing market. We target to bring down our operating unit cost and reduce our CO2 footprint. Carsten will discuss this in more detail in a minute. The generation of strong cash flows will be the prerequisite to keep investing in our future business success. For the coming years, we target average future investments to be at the same level as our depreciation and amortization expenses and less clear on top of value-creating opportunities exist. We will concentrate first on repaying the stabilization measures and on reducing our debt. The refinancing of government stabilization measures with less expensive instruments will be an important focus, considering that especially the interest rate of the silent participations will increase significantly over time. In doing so, we consider debt and equity. The capital raise will likely be an important element of strengthening our balance sheet, and we will closely monitor the markets to evaluate all options. Of course, the more successful we are in improving profitability and generating cash, the faster we’ll return to a healthy balance sheet. In this context, the divestment of non-core assets will play an important role, too, although the first consideration will always be strategic and not financial. We’re exploring strategic options regarding AirPlus, our travel payment company, as well as the rest of the world business of LSG, our catering company, once we are able to realize the full value of these businesses. We are also evaluating a partial divestiture or listing of Lufthansa Technik, knowing that such a transaction requires extensive preparations to ensure that the mutual access to know-how and intellectual property is maintained and that the change in ownership does not have negative repercussions on the relationships with key airline customers. This concludes my part of the presentation. Thank you for your attention. Carsten, over to you now for more detail on the group’s transformation.
Carsten Spohr: Thank you. Thank you very much. And ladies and gentlemen, I think it’s known to you that we are determined to continue to use this crisis also as an opportunity for change. And I mentioned our mission statement at the beginning. And following this, we described the phase we are currently in transforming the way we connect people, cultures and economies in a sustainable manner. And with this in mind, we also have sharpened our group’s strategy where we consistently align our actions with three major objectives: first, to make our ReNew program a success; secondly, to focus our organization even stronger on the customer; and thirdly, to even faster live up to our responsibility for more sustainability in air transport. And after this pandemic, the Lufthansa Group will be a focused airline group with initially only 650 aircraft and 100,000 employees worldwide. And right at the beginning of the crisis, we reacted quickly and I think decisively and consistently and achieved major changes in the company. We have reduced the number of management positions by 20%. One in five employees worldwide had to leave the company. We have concluded crisis agreements with all major unions and operating partners around the world. And at the peak of the crisis, we had over 80,000 people in short-time working structures. We have reduced our capital expenditure by 2/3, and we successfully completed the sale of LSG’s European business. Especially painful, for SunExpress Germany and for Germanwings, the pandemic means the final closure, and we are currently discussing a similar scenario for our German Brussels operations in Düsseldorf. Through all these measures, we could continuously and sustainably reduce our cash outflows. And it’s important for me to take this opportunity to clearly emphasize one point again. We want to take with us as many colleagues as possible through the crisis because as a service company, our employees are our capital. And it’s also my personal goal to secure sustainable jobs for 100,000 people in the group. And in the current situation, we now need further agreements with our social partners and unions that go beyond the current crisis package. The decisive factor here is that we ensure the greatest possible flexibility that’s why we want to introduce mandatory innovative part-time models to keep as many colleagues on board. Ladies and gentlemen, we’re also using the redimensioning of the Lufthansa Group to modernize our fleet. And despite the difficult financial situation with our record-high debt, we continue to invest into new aircraft. At the same time, we are retiring less efficient aircraft. In the past year alone, we have decided to phase out 115 aircraft. Currently, we operate almost exclusively our most modern and newest aircraft. We’re also looking into the – into returning – sorry, to not returning any aircraft older than 25 years to service at all. With our fleet restructuring, we’re also further reducing our complexity and, thus, the costs for crew training, maintenance and operations. In our long-haul operations alone, we reduced a number of aircraft in operation by eight. Overall, this will reduce unit costs in our long-haul fleet by 10% over the next six years. And the share of four engine aircraft in our long-haul fleet will fall to below 15%. They are being replaced by long-haul models of the latest generation. And overall, the accelerated modernization of the long-haul fleet will reduce CO2 emissions per seat kilometer by 15% until the middle of the decade. Under the umbrella of ReNew, we are bundling all activities initiated in our airlines, service companies and corporate functions. All companies in the Lufthansa Group are currently on the move. We are pushing efficient, lean and less complex structures under the restructure subproject. We made a comeback to the capital markets last year with RePay and successfully placed two bond offerings. In January, we were already able to repay the KfW state loan as the first part of the German government stabilization package. As Remco has already pointed out, we possibly will still have to draw on the equity components of the stabilization measures. But it’s already foreseeable that we will not need the entire €9 billion. It remains our ambition to rather be indebted to the capital market than to the taxpayer. In addition to these subprojects, the most important restructuring projects are underway in our airlines. At Lufthansa German Airlines, 14 380s and 10 340-600s, among others, have been permanently decommissioned. Negotiations with key suppliers for further cost reductions are ongoing. SWISS has reduced its workforce by 8% and its management staff by 20%, also a new collective labor agreement has been concluded with both cabin and ground staff. In Eurowings, the reduction of the number of AOCs to one in Germany, which was already planned before the pandemic, will be implemented this year. In addition, similar to Lufthansa, all wet lease contracts have been terminated. The administration will be reduced by 1/3. Austrian Airlines will reduce its workforce by 1,100 employees by the year 2023, 500 of them have already left the company. The fleet will be reduced by 1/4 from 80 to 60 aircraft, and the stations outside Vienna will be closed. We also looking at Brussels Airlines, the fleet reduction is 1/3, and of course, corresponding job cuts go along with it. These are all drastic measures. They are not easy for anyone involved. But nevertheless, they are unavoidable. At the same time, ESG is becoming more and more important. In other words, our commitment to adhere to high environmental, social and governance standards. And I say this with complete conviction. We do not focus on ESG goals because we have to, we do so because we care about them. That’s why sustainability remains our top priority even despite the crisis. Global air traffic is responsible for only about 3% of the world’s human-made CO2 emissions. Nevertheless, we must make every effort to further minimize the impact off-line on the environment. And this crisis also offers opportunity to do so. It is our responsibility to seize this opportunity. We can now reduce emissions faster than we thought possible before the pandemic. We have set ourselves the goal of reducing our CO2 emissions by half by 2030 compared to 2019. By 2050, we even want to operate on a completely CO2-neutral basis. It’s a long way, but we are convinced that we are getting there with a mix of the use of ecoefficient aircraft and the use of sustainably produced synthetic fuels. We already offer our customers the option of offsetting the CO2 emissions to their flights via our Compensaid platform. This is done by either using CO2-neutral synthetic kerosene or by reforestation. The use of synergies between different modes of transport also makes an important contribution to better climate balance. We are, therefore, working intensively in even closer cooperation and networking with Deutsche Bahn and other railway companies around Europe. We will see considerable potential in the area of intermodality. Without giving away too much, I can already announce today that in addition to joint routes, we also want to launch the joint offer with Deutsche Bahn here in Germany. And this brings us a little closer to our goal. In the future, the entire travel chain in Lufthansa will be characterized by sustainability. Among other things, this also means that we will be even more responsible with our resources and further reduce, for example, the use of plastic. Ladies and gentlemen, despite all the changes, one thing remains unchanged, the fascination for flying. People want to travel. And whenever possible, whenever travel restrictions are lifted and travel is safe, they book. And this, despite the fact that travel has become more complicated. As a result, we have to take into account 20 to 30 new or amended travel restrictions in our planning and systems daily. We expect a further increase in demand from early summer onwards. However, due to the current uncertainties, we are prepared for several scenarios. The most realistic one anticipates capacity of 40% to 50% in the full year. After a slow start to 2021, we are preparing for a steep rise in demand towards the summer. How strong the demand will ultimately be depends on how quickly tests and vaccines become widely available and how quickly travel restrictions decline worldwide. Once again, I would like to appeal to politicians. Instead of quarantine rules that are hard to control, we need international digital tests and vaccination certificates to enable people to travel again. One thing is clear, demand on short-haul routes within Europe will return much faster than our long-haul routes. And to give you an example, we are increasing Lufthansa short-haul capacity by no less than 50% over the course of this month. At the same time, the trend that we observed even before the pandemic will continue. The travel behavior of our customers is changing. The number of business trips will have lower share after the crisis. Videoconferencing will be able to replace many but certainly not all face-to-face meetings. The share of private travel with us increase further. We’re well prepared for this additional shift just as we are for the recovery. Just last week, we announced 20 new summer destinations from Frankfurt alone and 13 new vacation destinations from Munich. Eurowings is already the number 1 carrier in Germany when it comes to private travel. And in addition, we are now working hard to rebuild our long-haul tourist offer from Eurowings. The new flight operations of Eurowings Discover follows the very successful example of our Zurich-based leisure airline, Edelweiss. As early as June 1, we will initially be operating from Frankfurt with three long-haul aircraft to 6 destinations, 3 more destinations are to follow in the winter. But the other airlines in the group also continue to set standards with new services and offers as well as digital innovation. For example, Lufthansa is among the first airlines worldwide to offer contactless boarding via facial recognition with Star Alliance biometrics. And for the end of the year, we have planned the market launch of our new business class. We will announce in the coming weeks on which long-haul aircraft we will celebrate the premier. Premium made by Lufthansa, that is part of our DNA and we are sticking to it. And we are very well prepared for the restart of air traffic. We continue to respond very quickly and flexibly to changing conditions, and we are able to get up to 70% of pre-crisis capacity into the air quickly even at short notice and, of course, if the demand is right. Ladies and gentlemen, 2020 was dominated by the crisis. 2021 will be marked by modernization, transformation and redimensioning of the Lufthansa Group. Last year, Lufthansa Group fought for its arrival. Now we are fighting with all our passion to maintain our position as Europe’s number 1 and all that even in the face of growing global competition. You can already see the first changes. And by 2024, we will have changed even further and even more significantly in many, many areas. And I am intentionally talking about further change. In our almost 100-year history, we have succeeded time and again to come back after crisis to renew ourselves and become better and stronger in the process and to become even more successful with our strong brands. And that’s why I’m confident that we will also succeed again this time. In 2020, we have shown that we are mastering crisis and cost management not only better than planned, but also better than many expected and better than many of our competitors. We have demonstrated that we were able to tap the capital market once again and that we also have been able to secure more liquidity than anticipated. We have shown that we can change and adapt to new market conditions faster than ever before. And we have shown that even during the pandemic, we maintained the unique Lufthansa spirit that is needed to emerge stronger from this crisis. And with this in mind, we will continue to work on keeping Lufthansa in the top five airline groups of the global airline industry with our premium strategy, with a strong customer focus and strengthening our financial stability and flexibility and with more than 100,000 Luthansians and their passion for the crane. Thank you for your attention. And now Remco and I and Dennis look forward to your questions.
Operator: [Operator Instructions] The first question comes from the line of Ruxandra Haradau-Doser from Kepler Cheuvreux.
Ruxandra Haradau-Doser: Three questions, please. First, you mentioned an expected capacity recovery of 40% to 50% this year, which implies a significant recovery over summer. It is a little bit lower than you mentioned in previous press statements. Is the slight sequential deterioration of expectations since the start of this year driven only by H1 or also by expectations on H2? And is it driven by home countries? Or is it driven by EU traffic in general? And could you please give us a breakdown of capacity, recovery expectation at the different airlines level this year? Second, I know that visibility is very limited, but could you please share your current working assumption in terms of short-haul yields for summer? And third, considering all the restructurings you highlighted, where do you see your unit cost relative to pre-crisis level once capacity recovers to 90% of 2019 level in 2024?
Carsten Spohr: Yes. Maybe I’ll start with a couple of answers, then Remco will also give a few. Our capacity guidance towards the lower was mainly based on the first quarter, especially, as we are operating at 9% passenger numbers, and we all know that this will not significantly increase until April. Also, we just want to avoid the price war out there. So I think some capacity discipline on behalf of the leading carriers like us will help us all to create a healthy industry. And I think we’re all sending the right signals this way. On airline level, Dennis, we don’t have that available, do we? I can hand over to Dennis later on. On short haul, obviously, we see that recovering faster than long haul, especially with, for example, China probably being closed much longer than we expected initially. But I hand over to Dennis and Remco for some of the details you have been asking.
Dennis Weber: Maybe I’ll quickly follow up on capacity by airline. We just expect some minor differences. And so those airlines with a larger touristic focus on that, especially Eurowings, should ramp up somewhat more quickly and more significantly compared to the Network Airlines. But overall, no major differences.
Remco Steenbergen: Yes. Perhaps for me to add on the costs, I think you have seen in 2020 quite some cost reductions coming in. Of course, part of them are really structural we want to keep. There is a part which related to the crisis agreement. And part of those, we have, of course, to transfer in structural savings. That is where we’re working hard on. We’re absolutely committed to that. And of course, when we come back to the – to a more normalized situation and let’s say, that’s the 90% in 2024, of course, we target then as well to have unit cost below the 2019 level. At this point in time, it’s too early to quantify. We need to have a little bit more visibility on what will come and how the recovery will go and how exactly the business class passengers come in. But we are 1,000% committed to drive the cost as required.
Operator: The next question comes from the line of Jarrod Castle with UBS.
Jarrod Castle: Welcome, Remco. Three as well, please. You mentioned that you think you’ve got enough liquidity. You also mentioned capital raise. So anything in terms of timing and magnitude, how are you thinking about things there? And I might be wrong, but I thought in 2024, you initially thought you could get back to very similar levels to 2019. I know we’re talking 90% versus 100%. But has there been a change there? And if so, why? And then just lastly, on unions and staff, you’re still looking at another 10,000 staff. Can you just give an update on where you are in that process and especially with regards to the pilots?
Carsten Spohr: Remco?
Remco Steenbergen: Okay. Let me start with the – with your first question. We will be looking in the coming years, of course, how to restore our balance sheet to a healthy level, as I’ve tried to explain in my speech as well. What we do at what timing, we have to decide depending on how the markets develop in the coming years. It’s too early to say about this. But as soon as we have more information, of course, we will communicate. But at this point in time, it’s simply too early to give any details here. On the 90% target level lower than before, just let me just comment on the visibility current out there, correct? You’re running at a 20% capacity. We expect over the summer to go above 50%. We do expect that business will recover a little bit later. And probably in 2024, we’ll be below the original level. We currently estimate that that’s 90%. But depending on how the coming years go, we will further adapt, right? Because depending on the circumstances, that might definitely still change. We, of course, will be hopeful it’s more. It could be slightly less, but we have to take a worthy assumption, and we believe this is the right point to take at this point in time.
Carsten Spohr: Yes. On the pilot situation, especially also on the other labor groups. I explained it I think in Q3, but I think it’s important to mention that one more time. There’s a system in Germany, basically a build-in delay system that initially, in such a crisis, the government supports the companies with short-time working schemes. And to receive those, you obviously cannot fire, which, for us, is also financially a much better situation than to go into unvoluntary dismissals right away. At the same time, we are using this time to prepare the legal proceedings to eventually go into unvoluntary dismisses when the short-time scheme ends. So on the particular case of the pilot of the mainline, you know there’s different negotiations with any airline, but you probably wonder what the mainline, where we have 1,100 surplus pilots, we are now receiving these short-term payments for them until the end of the year. And once the first quarter of 2022 is over, the legal proceedings are prepared to go into dismissals unless the union offers us a deal with compulsory part-time schemes. It’s a better financial situation for us to keep everybody on board and just make everybody work less. So this thing, I think we’re now in a good negotiating position in the months to follow. And this, either one way or another way will be the output in Q2. In SWISS, we have also decided to terminate the collective labor agreement, which, as you might know, for those who know Switzerland was almost seen as unheard of way of action in Switzerland, it doesn’t happen very often. We believe this crisis is – will be enough that we also need significant cost cuts in SWISS. There, we went this way. On the more lower-cost airlines in the group, we usually have better agreements on behalf of the staff in terms of job security. So the idea, of course, is to also particularly reach some of the unit cost reductions we need after this crisis by shifting or by shrinking the higher-cost platforms faster than we shrink the lower-cost platforms.
Operator: The next question comes from the line of Stephen Furlong with Davy.
Stephen Furlong: Welcome, Remco. I’m trying to go back to this 2024. I know it’s a long way away. And I see, for sure, the plan to be back to about 90% of ASK. Do you think it’s reasonable to assume that the unit revenue mix would be lower? I’m thinking maybe there’s, maybe you agree or disagree, a greater weighing of short haul versus long haul or leisure versus business or economy versus premium. Maybe you can use more of your premium economy business so that – really, I’m just asking about the mix effect, please.
Carsten Spohr: Well, Stephen, if you only take that one factor into account, no doubt we believe that the corporate traveler will be even less than they have been in the past. But at least you know, most people tend to forget, we already are an airline which has more than 70% of individual private travel on board or not individual private travelers on board and less than 30% of business travelers. So that trend will continue as it did in the last years. And that alone, yes, could change the revenue mix in that direction. Well, let’s not forget, until 2024, many other things will happen. The largest aircraft in the Lufthansa Group will be taken out, 380s, 744s, 346. So we have smaller cabins to fill, which usually helps the yield. I’m very convinced not all airlines will survive this crisis. So there will be, call it, passive consolidation of some competitors fading away. In Europe, also in our important traffic regions, looking at South Africa, I think it’s worth to say, it’s already obvious we have less competition from South Africa in 2024 than we had the last year. So it’s impossible to answer that question. When you look at our EBIT targets, you understand that we want to get back to our record levels, maybe even higher, and that also is driven by some of the effects I just described.
Operator: The next question comes from the line of James Hollins with BNP Paribas.
James Hollins: Three from me, please. Just on financing, I was wondering if you would do any more sale and leasebacks. I don’t think it was mentioned, obviously, you’ve done those in H2. I was wondering if more of those might come. Secondly, just a little bit more flavor on whether you see any bookings pick up for this summer. Now obviously, the UK airlines are trying, putting a big pickup. Clearly, shipping vaccine and SWISS, et cetera, is a little bit slower. I was wondering if there’s a general excitement around European-wide having a summer. And then thirdly, I can’t believe we’re talking about it, but the media said you’re very interested in Alitalia again. I was wondering if that was true.
Carsten Spohr: I’ll go first with two and three, and then Remco can go to the sale and leaseback. The bookings for summer have picked up. Wherever an indication of less travel restriction arises, especially out of the UK, we have – the number of bookings multiplied after your Prime Minister announced that there will be restrictions being lowered. Every other country in Southern Europe, where now governments are announcing that they will be open for travelers being tested or being vaccinated, suddenly, our bookings jump up. So yes, indeed, we are optimistic for the summer. And also the recent decisions in Germany are definitely pointing probably even for the Easter vacation for a release of these restrictions. Alitalia, it’s only Italian media which reports that. We have not changed our position. Commercial corporation, absolutely, yes. We are the number 1 long-range carrier into and out of Italy. Italy is our most important market after the U.S., of course, putting the home markets aside, but investment, clearly no.
Remco Steenbergen: On the question on financing in the course of this year and also, by the way, for the years after, we will be looking at aircraft-related financing. So we will continue what we did in the past and that continues then also to sale and leasebacks. So yes, the answer on the question is yes.
Carsten Spohr: But a lot of – we have been around before. The capital markets being open to us allow us much better deals now than sale and leaseback of aircraft. Remember, we – initially, when nobody had access to money a year ago, we said, "Hey, we might have to go into sale and leaseback big time because there was no other financing available." Now with our recent success on the capital markets, and you saw the interest rates, there’s much cheaper money for us out there than sale and leaseback. That’s why we probably can avoid to use that to the same degree as some of our competitors do because we have better access to money.
James Hollins: Very clear. Just Carsten, apologies for not being all over this by not sitting in Germany. Can you just maybe run us through what is being put in place in Germany to give confidence in flying in Easter? And that sounds like a bit of a surprise to me. Is it health passports or whatever? Just some more detail for us, non-Germans, would be very good.
Carsten Spohr: Yes. I think there is no formal decisions taken to anything. But yesterday, in my view, in a very positive way, the German government opened up for testing schemes. Testing, which we have been pushing for, as you know, as an industry for months, for whatever reasons I don’t want to go into, has been not seen very positive from German government’s view. And that changed yesterday. They’re now talking about a testing strategy, free tests for every citizen. Companies like us obliged to test their staff. So this testing finally gets the room which we have been asking and waiting for so long. When it comes to travel, particularly, there is the next senior government meeting announced for the last week of March and traveling is on the agenda. And this is a few days before the Easter holidays. So I definitely think because a lot of pressure comes from the Southern European countries on the tourism industry in Germany, I’m very optimistic. We see some lifting of restrictions on travel as early as the last week of March.
James Hollins: And I assume your bookings ripped today then, as in went up a lot.
Carsten Spohr: Sorry, that was beyond my English. Say it again?
James Hollins: I assume your bookings on that news in Germany have gone crazy today.
Carsten Spohr: Bookings gone crazy. No, not particular. But as I said, every country, Greece, Spain, announcing that they will be open for business, that’s what’s driving our bookings. The bookings are mainly driven by what’s happening in the destinations. Don’t forget, Germans are allowed to travel. The only problem is that when you come back, you have to spend five days in quarantine. And that we all hope to be changed into a testing scheme. And again, I’m optimistic that will happen soon.
Operator: The next question comes from the line of Jaime Rowbotham with Deutsche Bank.
Jaime Rowbotham: Welcome, Remco. I have one for you and then one for Carsten. So I did want to go back to the cash. The debt maturity profile on Slide 36 is very helpful, although it was at the end of December. And as you’ve highlighted, there’ve already been some changes like repaying early the €1 billion KfW loan falling due in 2023 using proceeds from the €1.6 billion of bonds you issued last month. Can I just try to clarify? In terms of repaying the €2.6 billion of maturities in 2021 and absorbing potential further cash burn, is it possible to articulate very roughly what’s likely to be the balance between, a, allowing the existing €5 billion or so of cash at hand to deplete? So Remco, what’s your minimum requirement there? B, utilizing the €5.7 billion of undrawn funds from Slide 19; and c, new issuances of debt or even equity. Any rough guide would be helpful. And then secondly, Carsten, I’m sure direct distribution is perhaps one of the last things on your mind right now. But hopefully, you won’t mind the question. IAG last week announced a new arrangement, which will see Amadeus offer their content via a new NDC-enabled solution. Is this sort of compromise a sensible endgame in terms of negotiations with the GDSs? And if so, should we expect to see Lufthansa following a similar path?
Remco Steenbergen: Let me take your question on the cash first. We still indeed have some part of the €2.6 billion maturity this year. We have repaid a smaller part of this, but the part is still to be repaid. And equally, as I said before, we’re still looking at further debt issuance in the course of the year. The net of what we still need to do should – we are targeting to be around zero, correct? So meaning that the cash we had at the beginning of the year available should not be eaten up by repayment of the maturing loans in the course of this year. Then, of course, we have to see what happens and how fast we recover this summer and how that liquidity profile looks like. And then we have a discussion indeed to what extent we have then to use the SP I. There are too many uncertain progressions in terms of capacity and the speed of that recovering in this year to really guide on what the amount is then we would have to additionally take if we have to take it. I know that might not be 100% satisfying. But equally, we hope, of course, that we can minimize that, but we have to see how the year goes. I think the more important is that actually the combination of the cash and the undrawn facilities of €10.6 billion, as you can see, should have given us ample opportunity for liquidity throughout this year whatever the circumstances. And that I think is the most important. And then we manage it month-by-month, do the right thing.
Carsten Spohr: Yes. On your GDS question, you asked if there is an endgame? There will never be an endgame because direct distribution is increasing and increasing, and we are successfully implementing our direct distribution interfaces with more and more large and also mid-sized German companies. And I think, as you probably know, we have been leading kind of the way to break up that oligopoly. And that’s answering your questions, we are using, of course, our market strength and the money we spend on the digital interfaces to become more independent. So I think if I got the question right, that’s – there’s no endgame insight on this.
Jaime Rowbotham: Carsten, if I may just follow up. If there are companies or corporates, important ones, for example, who have found it difficult to move away from GDS for whatever reason, my understanding of what IAG have just done is facilitated away for some of those companies and corporates to access the wider set of prices, fares, dynamic pricing, whatever you want to call it. Is that something you do not intend to do?
Carsten Spohr: No. I think – again, I’m not quite sure if I fully understand. You’re right. I think it was 18 months ago when we announced the first, what we call, direct connect with, at that time, Siemens, which is our largest corporate account. We now have moved to Voxland, our second largest corporate account onto this. So I don’t want to brag here. But we have been doing this for more than a year, even half a year, I would think, before COVID to bypass GDS costs and limitations by plugging our large corporates directly into our system. And that, of course, is something we’re rolling out while we speak. So a big part of the German economy is built on the strength of midsized companies. So we’re now going into these as well. So the answer I guess in short is yes.
Operator: The next question comes from the line of Carolina Dores with Morgan Stanley.
Carolina Dores: I guess I have three. One, with the current – with the 110,000 employees, could you go back theoretically to operate 100% of 2019 capacity? Or would you need to rehire? And on that, because of the government, the German government program, have you provisioned any redundancies or restructurings or is this yet to come? And my final question is, if you could give us a bit more details on your views of the MRO business, what are the segments that you think it’s – are going to recover sooner? And where do you think you can go back to levels of returns of 2019?
Carsten Spohr: For the 110,000 employees, to operate 2019 capacity would be a 30% increase of productivity. Of course, if you do that, you need a lot of outsourcing to get that done. So even that question, I cannot answer straight because it depends on whether you’re doing in-house, whether you’re doing outside. It’s important to differentiate between the 110,000 employees, which we are reducing most likely to 100,000, and the FTEs behind it. These people cannot all work as full-time 100% FTEs because we don’t have the work for that that’s why the part-time models come into play, which is much cheaper for us to put people in part-time models than to have forced redundancies and then rehire a couple of years from now, which is like the U.S. is doing it. So I think there’s a joint interest from the staff member, from the unions and from us to agree on these part-time models. And then you can breathe your HR capacity based on number of people, but not the same number of FTEs when the capacity goes up again. But of course, unit cost will come down, which is our target once we are beyond this crisis, and part of it is also unit cost of HR coming down. We have a small amount of provisions already booked in 2020, the number...
Remco Steenbergen: 200 – it’s about €200 million of restructurings we have booked last year. And of course, when further restructuring will come, then those will be announced and then those will be booked at appropriate time. And we cannot comment on that at this point in time.
Carsten Spohr: Okay. Is it fine? Can you hear this?
Carolina Dores: And on the MRO business?
Carsten Spohr: Yes. MRO – usually, MRO is lagging behind somewhat when it comes to that into a crisis. Usually, the business comes down later and will fully recover also later. And who knows when industry capacity will be back at 2019 levels? And that will also answer the question when MRO will be back in 2019 levels. The positive outlook for MRO remains to be that older aircraft, which are tend to be maintained by the airlines themselves, are becoming less and less, where modern aircraft of new technology, which are just too sophisticated to be maintained by the operating airline and will be outsourced to MRO provider like Lufthansa Technik, that number will increase. So I think that trend is unbroken.
Operator: The next question comes from the line of Neil Glynn with Crédit Suisse.
Neil Glynn: I’ll ask two, please. The first one, a bit of a bigger picture question for Carsten on governance. So there’s obviously been a lot of management turnover. I’m reading the annual report. It really hits you business by business. Obviously, on one side, it’s not ideal given the scale of restructuring necessary. But I’m sure, at another level, it brings new talents like Remco, of course, but also perhaps energizes the organization. So I’d love to understand how do you feel you can ensure these personnel changes act as a positive and an agent for positive change as you restructure the business? And anything you’re doing differently in terms of managing the whole group? And then the second question on the restructuring. Obviously, there’s been a lot of questions on 2024. But just stepping back a minute to 2019, you obviously had major challenges at Eurowings and Austrian Airlines have never really performed that well from a margin perspective. So would it be fair to think that the restructuring activities, the cost cuts, the unit cost objectives, are going to be starkest and most ambitious at those two businesses to use this pandemic to really achieve structural change? Or are they – the fact that they’re smaller, does that mean that they’re a lower priority in terms of restructuring?
Carsten Spohr: Well, let me start with the last question. The restructuring is not done centrally out of Frankfurt. We leave the restructuring efforts to the local management, like our friends in London in IAG do as well. So restructuring in Austria takes place in Austria, restructuring for Eurowings takes place in Eurowings. So it’s not a question of priorities. It’s rather I think, indeed, the motivation in this business to turn them into smaller and higher-margin businesses is with the local management. And we just put on the pressure as a shareholder, which means if they want any investments, they need to prove to us that we get the money being invested with a nice return back to us. So it’s all about ROCE, return of the capital employed, how we manage the group. And we continue to do so also in and after the crisis. Indeed, though, the options for change, the speed of change, of course, is highest in a company like Eurowings where the pressure is so high. So I think we’ll see the biggest jump in unit cost advantages, for example, in Eurowings, I’m quite convinced. On governance, obviously, we reduced management by 20%. And we wanted to make sure that also some young top talents have a chance to rise in the management, even though we reduced a number of positions. So we had to ask more than 20% of our management to leave to open up some positions for those talents we believe should be on the rise. Did we always find the right person, including somebody like Remco to be brought in? And did we always find the right people to leave? At least we try like in any large organization. But I think we have some major process. Also, we have done – like today, we announced in Swiss, we’re going from 4 to 3, it just came on the wire. We have done similar things on all management teams in the group or including the group executive management going from seven to six. So I think it’s also an issue of becoming leaner. And indeed, of course, if we do it right, we have the quality of the individual management going up. And 80% are still there or 70%. So it’s not a fear of lack of talent of lack of experience I think or lack of knowledge from the past. I think we have a nice mix there.
Operator: The next question is from the line of Muneeba Kayani with Bank of America.
Muneeba Kayani: I wanted to ask about how you’re thinking about the pricing environment, if it is a rebound in travel demand this summer onwards? I realize visibility is low, but how are you thinking about the pricing environment unfolding? And then secondly, on the fleet, you’ve historically had a largely owned suite. With the financings that are planned, how – what’s your target in terms of the owned percentage of the fleet going forward?
Carsten Spohr: Yes. On the pricing, I see two effects, probably one way or another balancing each other. On the one hand, there’s huge overcapacities in the market. We all know that for all players. At the same time, everybody, after suffering serious losses in 2020, will be much more focused on the bottom line I think than in the past. So I think there will be discipline coming from this element. Surely, we have that discipline in Lufthansa when it comes to capacity. And that should allow us, in my view, also because there is much more short-term scheduling, which usually avoids surplus capacity because you know better than in the past where to put your operations and your real networks. I think that should play out fine with those counter arguments of overcapacity. So let’s hope for good balance there. The fleet, as you know, is owned to...
Remco Steenbergen: 85%.
Carsten Spohr: 85%. And I think we’re not going to see major changes.
Operator: In the interest of time, the final question for today is from the line of Daniel Roeska with Bernstein Research.
Daniel Roeska: Remco, welcome and best of success in the new role. Maybe three longer-term questions since we covered a lot of the shorter-term details already. Carsten, you talked about the structural demand shift you expect for the next couple of years, kind of more leisure, more short haul. Will that force you to reconsider a more fundamental replatforming of your mainline short-haul network? Kind of what impact would you structurally see on those feeder flights and their cost position? And also, with the shift to leisure and maybe a little bit less business than more short haul, how do you think loyalty has to change? And what’s the opportunity here for most of – and from the group when you think about loyalty as a concept in the next couple of years? And on a broader note, you’ve commented that there was quite some issues with governments behaving in uncoordinated ways in the past couple of months and still are. It seems like in the U.S., A4A has had more success in lobbying the government. Is there any hope left for in A4E in Europe? Or basically, are the rifts too deep and basically A4E has run its course? So how do you think about kind of industry, lobby and coordination in the next couple of years?
Carsten Spohr: Yes. That’s right. In the first question, you implied something which we have not said. I do see a higher share of leisure coming up because indeed, we have seen that in the last years. And as I mentioned before, the trend will go on maybe in an accelerated fashion. Lufthansa, we already had more than 70% of individual or leisure travel and only of private travels, you want to say that, and less than 30% of business travelers. And we see that trend. On short haul, I didn’t say that. Maybe the next, obviously, 12 months with restrictions around the world on COVID. But once the pandemic is over, we actually see – also when you look at competitors, we see a nice opportunity for Lufthansa to become more growing market share and profits on long haul. So that I think is a different issue. But the core of your question, we have come a long way since the years you worked for us. We have CityLine with no more scope clause. We can use Airbus 319s in CityLine, and we’re moving more Airbus 319s to CityLine. We have Eurowings, both Discover, Eurowings Europe and Eurowings Düsseldorf without scope clause being able to feed into our hubs if we decide to do so. So if we have more leisure-oriented destinations, we either don’t serve them at all as in the past or we serve them now with Eurowings into Frankfurt and Munich or we decide to put them on Eurowings Discover. So we now have a full play, which we’re trying to do for so many years. We now are at these opportunities when it comes to our CLAs. And also, we have the commercial system upsets – setup that we can actually use different operators, different flight numbers and so on. So yes, indeed, compared to the days where you were here and we were much restricted on feeding our hubs, we have come a long way. And that’s part of our unit cost advantage we’ll see in the future operating other airlines into our hubs besides Lufthansa mainline. On loyalty, we believe that loyalty becomes to be an issue where frequency of travel is in the future probably more important than just the status achievement. We see more driven – loyalty driven more by the value of the tickets being bought rather than by the destinations or the distances as in the past. So I think there will be, if you want to call it, a more commercial approach to using a loyalty program for our customers, also for those who don’t fly as much as others, which basically benefited from loyalty programs in the past. So in Germany. On airlines for Europe, I don’t share your view because if you look at the slot situation, for example, it has been a huge success story that we were able, to be honest, later than other parts of the world. But eventually, to get the slot rule, which you know, 50% can be turned in, 50% of the remaining ones have to be used. And that probably wouldn’t have been possible without airlines for Europe. And you even know that probably one of our friends in the low-cost industry was even opposing that, and the remaining members of airlines for Europe were able to push that through. So I don’t share that view. I think we have seen no success in the past in Brussels, and we are seeing some now. Is there always more you would dream of? Of course, but I don’t share that negative view.
Operator: In the interest of time, we have to stop the Q&A session, and I hand back to Dennis Weber.
Dennis Weber: Yes. Thank you very much for your interest. I’m sorry for those who had not the opportunity to ask questions. We’ll be sure to be in touch with you directly. We look forward to also speaking with you over the next few weeks, and we’ll meet again then for the publication of Q1 results at the end of April. Thank you and have a good afternoon.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining and have a pleasant day. Goodbye.